Operator: Hello, and welcome to FirstEnergy Corp. Fourth Quarter 2024 Earnings Conference Call. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Karen Sagot, Vice President of Investor Relations. Please go ahead, Karen.
Karen Sagot: Thank you. Good morning, everyone, and welcome to FirstEnergy's fourth quarter 2024 earnings review. Our Chair, President, and Chief Executive Officer, Brian Tierney, will lead our call today, and he will be joined by Jon Taylor, our Senior Vice President and Chief Financial Officer. Our earnings release, presentation slides, and related financial information are available on our website at firstenergycorp.com. Today's discussion will include the use of non-GAAP financial measures and forward-looking statements, which are subject to risks and uncertainties. Please read our cautionary statement and discussion of non-GAAP financial measures on Slides 2 and 3 of the presentation. Factors discussed in today's earnings news release, during today's conference call, and in our SEC filings could cause our actual results to differ materially from these forward-looking statements. The appendix of today's presentation includes supplemental information, along with the reconciliation of non-GAAP financial measures. Now it's my pleasure to turn the call over to Brian.
Brian Tierney: Thank you, Karen. Good morning, everyone. Thank you for joining us today and for your interest in FirstEnergy. I would like to welcome Karen Sagot to FirstEnergy as our Head of Investor Relations. This is Karen's first of what I hope will be many earnings calls with us. She has quickly become a valued member of the management team. 2024 was a year of extraordinary structural change for our company, and I'm proud of what we've accomplished. First, we significantly de-risked our business from financial and regulatory perspectives and put together a team of leaders who are focused on driving a high level of performance for customers, employees, and investors. We also activated a powerful business model to invest in our electric infrastructure and our people, operate safely and efficiently with a focus on continuous improvement, recover our prudently incurred investments, and finance our regulated operations. Together, these efforts are making a positive impact for our 6 million customers, energizing and engaging our employees, and supporting our sustainable long-term growth objectives. I'll start today's call with a look at our 2024 financial performance and key milestones over the past year. I will discuss our outlook for 2025 and beyond and review the value proposition we offer shareholders. We delivered 2024 GAAP earnings of $1.70 per share. Operating earnings were $2.63 per share within the forecasted guidance range. Our 2024 results benefited from new rates and investments in our regulated businesses, execution on our capital plan, and O&M discipline. Earnings were also impacted by several headwinds throughout the year. These included lower sales volumes, partially due to mild weather conditions versus normal throughout much of the year. In the summer, we also experienced an unusual amount of storm activity that didn't meet the regulatory requirements for deferral. In the second half of the year, our Ohio revenues were below our plan due to the ESP-5 order, which I will discuss in more detail a bit later. Employees did a great job of navigating these headwinds. A primary focus of our new leadership team is making the company more resilient so we can drive results consistent with our plan and realize our company's potential. We're working across the organization to drive performance excellence and build a strong culture of continuous improvement. This includes ensuring our processes, performance, and accountability are consistent with being a premier electric company. The financial and regulatory milestones we achieved in 2024 and over the last couple of years have strengthened our foundation and reduced the risk profile of our underlying business. The success of the significant regulatory program we launched in 2023 has been instrumental to executing our strategy. We have now completed rate reviews in four of our five states since the fourth quarter of 2023, derisking 83% of our rate base when including transmission formula rate investments. Approved rate cases over the past 18 months in Maryland, West Virginia, New Jersey, and Pennsylvania have resulted in a net annual revenue increase of approximately $450 million and allow us to make the necessary investments for a stronger and more reliable grid. Most recently, in November, the Pennsylvania Commission approved our $225 million base rate case settlement with new rates effective January 1, 2025. We were pleased to reach this constructive outcome which builds on service reliability enhancements made in recent years. We also resolved several additional proceedings in 2024 to facilitate our investment plans and recover specific costs. The Pennsylvania Commission approved our third long-term infrastructure investment plan known as LTIP 3 in December. This program will track approximately $1.6 billion of capital targeted at grid modernization and reliability in Pennsylvania over the next five years. This includes planned investments of approximately $300 million in 2025 to improve circuits, deploy reclosers, and other sectionalizing devices, and replace overhead equipment to reduce customer outage times. Also in December, our Grid Mod II settlement was approved by the Ohio Commission. This is a four-year program that includes capital investments of just over $400 million to bring smart meter technology to all of our Ohio customers. In New Jersey, the BPU approved JCP&L's Energy Efficiency and Conservation Plan in November, which will help customers save on their electric bills. Total program costs of $817 million from January 2025 through June of 2027 with an authorized return of 9.6% on program investments. Turning to our balance sheet, completing the sale last March of the incremental 30% of FirstEnergy Transmission's equity interest was a transformative milestone for our company. It marked the final phase of our $7 billion multi-year effort to improve our balance sheet and fuel our investment plan. Successfully closing the transaction was the catalyst for our return to investment grade status and all three credit rating agencies. Across our holding company and subsidiaries, we achieved a total of 40 ratings upgrades in 2024, more than double the number of upgrades in the entire U.S. electric utility sector in 2023. Today, all FirstEnergy subsidiaries are investment grade and substantially all of our companies have their highest ratings in more than 20 years, and we are committed to maintaining these metrics. We put the power of our stronger financial position behind our comprehensive capital investment program, Energize365 to forge a smarter, more reliable grid. In 2024, we invested $4.5 billion in our system through this plan, surpassing our original plan by 5%, and an increase of more than 20% compared to 2023. To ensure we're performing at the highest levels, we transformed our organization and implemented an operating model that moves decision making closer to our customers and the employees doing the work. We then recruited external candidates and advanced internal talent to lead our companies forward. In total, we have placed 24 individuals in the critical roles at the Vice President level and above. This includes nine members of the senior leadership team, including our business unit presidents, as well as other key leadership roles. This new leadership team is applying their deep experience and building a high performance culture based on accountability, operational excellence, financial discipline, and achieving constructive regulatory outcomes. Another milestone in 2024 was resolving certain Ohio legacy proceedings, allowing us to focus our vision on the future. Finally, we delivered to shareholders a solid dividend, with 2024 declarations totaling $1.70 per share, an increase of just over 6% versus those declared in 2023. The successes we achieved in 2024 strengthen our foundation and support our vision for the company's bright future. Turning to Slide 7, let's begin a quick regulatory overview, starting with Ohio, which represents 17% of our rate base. As many of you know, the commission's long-awaited auditors report and our base rate case was made public last Friday. We believe the auditor's report was constructive on several issues and look forward to filing our response in the near term. The Ohio Commission has been diligent in separating legacy issues from traditional rate proceedings and has maintained that diligence in this case. The auditor's report focused mainly on a rate request. We have not experienced regulatory overhang in our interactions with the commission. In regards to the electric security plan, the commission approved our withdrawal of ESP-5 in December. The Ohio companies reverted back to ESP-4 on February 1st, but without revenue increases for our distribution capital recovery rider. ESP-4 should remain in place until ESP-6 goes into effect, which is expected to be close in time to when the base rate case is effective. Like ESP-5, our ESP-6 proposal focuses on reliability, affordability, and stewardship. ESP-6 defines distribution riders for the full term of the ESP and proposes increases to the DCR tied to reliability performance to better align within state peers and support significant capital investments. In the coming weeks, our Ohio companies will update the pending base rate case to remove provisions that are now appropriately addressed in our ESP-6 filing. In New Jersey, we continue working toward a settlement related to our infrastructure investment program, EnergizeNewJersey, which includes investments targeting system resiliency and substation modernization. In West Virginia this year, we will file our required integrated resource plan. The 10-year plan will include updated load forecasts and provide options around future generation needs to serve our customers and support economic development. Given the energy needs in West Virginia, we plan to explore building new dispatchable generation in the state. Should this be approved, it would be incremental to our investment plan. Turning to Slide 8. Over the last few years, we had remarkable growth in our core regulated earnings, but this growth did not come through clearly because of non-core components of operating earnings. Today, to assist investors in assessing our performance in our core business, we are introducing core earnings, which are the earnings of our distribution, integrated, standalone transmission, and corporate segments, excluding the earnings contribution from pension and the Signal Peak mine and special items. From 2022 to 2024, high-quality core earnings have grown by 33%. During the same period, non-core earnings from pension and Signal Peak, which are volatile and often outside of management's control, decreased by 59%. As we have in the past, we will continue to seek an exit from our Signal Peak ownership position. We believe that core earnings better reflect the true performance of the regulated utilities we manage and the necessary corporate functions of the company. Beginning in 2025 and for future periods, we will provide guidance for core earnings and core earnings growth rates. For 2025, we are introducing a core earnings per share guidance range of $2.40 per share to $2.60. This compares the core earnings of $2.37 per share in 2024. At the midpoint of 2025 guidance, this would represent growth of 5.5% or 7% when adjusted for the dilutive effect of the 2024 FET transaction. Our 2025 guidance includes continued solid growth from investments in our regulated operations. Our new guidance also accounts for several unanticipated factors that developed since our third quarter call. These include the impact of higher than anticipated financing costs, including significantly higher interest rates, the removal of a 50-basis point incentive from ATSI transmission rates, consistent with the decision by the U.S. Sixth Circuit Court in January, and Ohio DCR revenue caps, which were frozen at May 2024 levels, consistent with the commission's December order and our return to ESP-4 in February. In addition, the settlement in the Pennsylvania rate base calls for incremental spend on reliability-related maintenance activities, which is fully recovered in new rates. Initially, our plan included reductions in O&M in all of our segments so that total baseline O&M, inclusive of the increase in Pennsylvania, would be flat to 2023 and 2024. Ultimately, we concluded that doing so would not be sustainable and would not support the long-term operating, regulatory, and financial objectives of our company. Our core earnings guidance for 2025 reflects financial discipline from a targeted program being led by the new management team. The program includes organizational design changes, as well as programs focused on procurement and contractor staffing. With this program, we expect O&M in 2025 to be flat to 2023 and 2024, with the exception of the Pennsylvania-related increases. Jon will provide more detail on O&M discipline later in the call. This approach was developed with the new leadership of our operating companies. In this model, decision-making is closer to the customer, employee, and regulator. We will operate and invest consistent with the regulatory outcomes and commitments we have made to our customers in each jurisdiction. We anticipate investing $5 billion in our regulated properties during the year, an increase of approximately 11% over 2024. This investment is enabled by recent rate activity. Subject to board approval, we anticipate annual dividend declarations totaling $1.78 per share in 2025 and a payout ratio of 60% to 70% of core earnings over the planning period. For the 2025 through 2029 investment horizon, we are providing forecasted core earnings compounded annual growth rate of 6% to 8%. We're Energize365 $28 billion investment program through 2029. This represents an 8% increase from our previous five-year plan and results in a 9% compounded annual rate-based growth during the period. For our base investment plan, we do not anticipate incremental equity needs beyond our ongoing employee benefit programs. We are committed to our investment-grade credit ratings, and as we have incremental investment opportunities, we would consider a broad range of financing operations. Our CapEx plan is solid and has the flexibility to handle changes to individual projects. We believe that FirstEnergy represents a low-risk, reasonable return investment proposition to investors with an attractive total return opportunity of 10% to 12%. With that, let me turn the call over to Jon for more detail. Jon?
Jon Taylor : Thanks, Brian. Good morning, everyone. Thank you for joining the call. Today, I will briefly review our 2024 performance, provide additional detail on regulatory matters, and discuss our outlook for 2025 and beyond. You can find more detail on our results, including reconciliations for core earnings, in the Strategic and Financial Highlights document we posted to our IR website yesterday afternoon. As Brian mentioned, going forward, we will report our results using core earnings, which reflects the results of our regulated operations and holding company activity, excluding the earnings from Signal Peak and the mark-to-market impact of our pension plan. This was a very thoughtful decision and is the result of the volatility in these two income streams that, quite frankly, we don't control. For example, in addition to the volatility we've seen since 2022, in 2024, the earnings contribution of Signal Peak and pension was $0.26 a share. Our initial expectation for these contributions for 2025 was a little south of $0.20 a share, but that outlook improved as of the end of Q3, as our expectation for interest rates would remain low and commodity prices on Signal Peak Coal were stable. In Q4, interest rates increased significantly, negatively impacting the pension and commodity prices have significantly decreased, impacting the profitability of Signal Peak. The contribution of these two items have declined significantly from our expectation, and this type of volatility is not sustainable and the reason for the change to reporting on core earnings. To close out 2024, I'll walk you through our results relative to the guidance we provided on operating earnings. Operating earnings for 2024 are $2.63 a share, which compares to $2.56 a share in 2023. Results are at the lower end of our revised earnings guidance range due to the impact of unanticipated lower customer demand, in part due to milder temperatures in Q4. The combined impact of our legacy non-regulated Signal Peak investment and net periodic pension income decreased 30% from $0.36 a share in 2023 to $0.26 a share in 2024, and comprised about 10% of our 2024 operating earnings. Our full year results benefited from new base rates in our integrated business and growth from formula rate transmission and distribution investment programs, which resulted in a significant improvement across our regulated businesses as compared to 2023. In our distribution segment, earnings increased $0.04 year-over-year, primarily from higher weather-related distribution sales, lower Ohio rate credits, and higher revenues associated with the Pennsylvania DIS program. This was partially offset by the impact of the Ohio ESP-5 order, which negatively impacted results by $0.04 a share, as well as higher non-deferred storm costs. In our integrated segment, earnings increased $0.29 a share, primarily due to new base rates in New Jersey, West Virginia, and Maryland, and higher weather-related distribution sales, partially offset by a higher effective income tax rate. The three base rate cases in this segment resulted in a significant improvement in the returns in these jurisdictions, with ROEs at the end of 2024 ranging from 8.3% to 9.3% on the equity portion of rate base. In the standalone transmission business, earnings declined $0.12 a share. Our investment programs increased earnings by $0.07 a share, or more than 10% versus 2023. However, this was more than offset by the dilution from the 30% interest sale of FET, which closed in March of 2024. FE owned rate base in this business was $5.3 billion at the end of 2024, which represents year-over-year growth of 10%. Finally, in our corporate segment, losses increased $0.04 a share year-over-year, largely due to the absence of a state tax benefit recognized in 2023. This was partially offset by lower interest expense, reflecting $460 million in debt redemption at FE HoldCo as part of the planned use of proceeds from the FET transaction. Turning to the balance sheet as part of our 2024 financing plan, during the fourth quarter we issued $700 million in debt securities with registration rights at a JCP&L. The bond issuance was oversubscribed by 8 times with a coupon of 5.1%, representing a spread of 95 basis points. All in, our 2024 financing plan included five transactions totaling $2.1 billion with a weighted average interest rate of 5.1%. Additionally, we continue to mitigate risk associated with our pension plan. In January, we completed a $650 million lift-out associated with the company's former generation subsidiaries at 99% of par. In combination with the lift-out in December of 2023, we have removed approximately $1.4 billion of gross pension obligations from the balance sheet, representing the obligation and funding risk related to our former generation subsidiaries. Looking at our credit metrics, FFO to total debt was impacted by the SEC and OOCIC settlement payments, as well as a historic storm event in Cleveland last August. Excluding these unique payments, which negatively impacted the metrics by 150 basis points, FFO to total debt was 14% in 2024. A strong balance sheet remains paramount to our strategy. Shifting gears, let's talk about our expectations for 2025 and our five-year planning period through 2029. The materials posted to our website yesterday afternoon included updated financial outlets, including our base capital plan and rate-based growth, which supports our targeted core earnings compounded annual growth rate of 6% to 8% through 2029. Our expanded five-year Energize365 capital investment program of $28 billion includes increasing annual capital investments from $5 billion in 2025 to $6.4 billion in 2029, resulting in compounded annual rate-based growth of 9% through the end of the five-year period. For 2025, these capital investments will be financed with a combination of internally generated cash flow and debt issued at our operating companies. This year's debt financing planning currently consists of eight transactions, approximating $3.6 billion, of which $2 billion is new money requirements. Approximately 75% of the planned investments are in formula rate or formula-like recovery mechanisms that provide real-time returns. And nearly half of the total investments are in FERC-regulated assets, which resulted in a 10% compounded annual rate-based growth in our standalone transmission segment and 24% growth in transmission rate base in our integrated business. Our financial results for 2024 resulted in a consolidated return on equity of 9.4% on rate base of $25.9 billion, which compares to 8.8% in 2023. Our financial plan improves upon the efforts we've made to enhance our returns over the last few years, targeting actual returns consistent with allowed returns on a consolidated basis. Capital deployment, continued focus on financial discipline with operating expenses, and regulatory outcomes that support fair returns on our investments are pillars to our plan. Additionally, through the recent base rate cases, we have made significant improvement in aligning our regulatory returns as disclosed in our materials with our core earnings, with adjustments or differences being more traditional and largely limited to AFUDC equity, the recovery of retirement benefits and items such as non-operating income and interest synchronization. Our well-positioned footprint continues to be very attractive to data center developers. Through 2029, our plan includes 2.6 gigawatts of data center demand that is active or contracted, and we are seeing data center growth in our pipeline of just over 5.5 gigawatts through that same period, which would result in an incremental $350 million to our base capital program. Beyond 2029, the pipeline includes over 6 gigawatts of data center activity and even greater potential with the steady influx of load studies we've seen over the past year. Our current forecast, which only includes contracted data center demand, includes compounded annual sales growth for our industrial class of 5% from ‘25 to ‘29, and in the near term, 8.5% from ‘25 to ‘27. This forecast would increase as projects in the pipeline become contracted in addition to providing incremental transmission investment opportunities. Turning to our financial plan for 2025, as Brian mentioned, since our Q3 call, there have been some developments that have lowered our core earnings forecast for 2025 versus our most recent expectations, including higher financing costs, which is comprised of increased borrowings and higher interest rates, mainly attributable to the yield on the 10-year treasury increasing about 100 basis points since the first part of October. Regulatory outcomes that were slightly less than planned, specifically related to Ohio DCR revenues being held flat as part of the ESP-5 withdrawal and the 50 basis point reduction in the FE ROE, as well as a decision on base O&M that Brian discussed earlier. We are providing a 2025 core earnings guidance range of $2.40 to $2.60 a share with a $2.50 per share midpoint, representing 5.5% growth off of 2024 core earnings of $2.37. 2025 is primarily driven by the outcome of the approved Pennsylvania base rate case in our Distribution segment, which resulted in a net annual revenue increase of $225 million beginning January 1 of this year and includes recovery of expenses for additional operational and maintenance work, such as an enhanced vegetation management program as well as storm cost and other deferred cost recovery. Additionally, the integrated segment is positively impacted by the first full year of new rates in West Virginia and New Jersey and continued growth in our formula like and formula rate investment programs. As Brian discussed, we are driving meaningful changes across FirstEnergy to enable our long-term success as a premier electric company. This requires investments to modernize the way we work and improve the customer experience. While we strive for a balance, we are focused on meeting our regulatory commitments and doing this work as effectively and efficiently as we can. Our plan supports this foundational work to achieve our vision. For example, consistent with our approved base rate case in Pennsylvania, our O&M expenses in 2025 includes increased scope to drive reliability improvements, mostly through an enhanced vegetation management program. Absent the higher O&M in Pennsylvania, which is fully recovered through revenue increases, our 2025 planned O&M is flat to 2024 and 2023 levels. We are focused on financial discipline across the business, including supply chain optimization, reducing reliance on contractors and staff augmentation and driving efficiencies throughout the entire organization. This is work that is extremely important and will be a continued focus of the management team. We have made tremendous progress to execute on our business model, derisk the company, invest in the opportunities across our businesses to improve the reliability and resiliency of the electric system, and enhance the customer experience. We also have a new organizational structure and leadership team in place to deliver on our commitments to our stakeholders. With a concrete focus on our core business, we are excited about the future and look forward to building on our momentum and delivering value as a premier electric company. Now let's open the call to Q&A.
Operator: Thank you, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Shar Pourreza with Guggenheim Partners. Please proceed.
Shar Pourreza : Hey, guys. Good morning. Can you guys hear me?
Operator: Yes, we can hear you.
Shar Pourreza : Great. So Brian, just diving into the '25 guide, which is obviously a bit of a reset. Just trying to get a sense on how much of the tail risks you're highlighting are timing related? What you're now assuming on interest rates, so could that become a tailwind? How much of the O&M pressure is PA related? And just, I guess, where are you within the 6% to 8% off the lower '25 base assuming what we know today? Thanks.
Operator: I believe we're having a slight difficulty with the speaker lines. [Operator Instructions].
Brian Tierney : Shar, can you hear us?
Shar Pourreza : Yeah, much better now. Hey, Brian, good morning.
Brian Tierney : Sorry about that. Maybe we cut O&M a little too far.
Shar Pourreza : I thought you were still enamored by my question. You were kind of speechless. I was complimenting myself there.
Brian Tierney : It was a great question. Let me go about answering it. And if I missed something, let me know. We do anticipate being in that 6% to 8% range beginning '25 through to '26 and for the full range that we've talked about. As a management team, we will be disappointed if we don't end in the upper end of that range. As Jon and I talked about during the call, much of the O&M change, all of the O&M change can be described as the increase that we received in the Pennsylvania base rate case settlement. As a management team, we felt it was important to spend the dollars that we agreed to spend in Pennsylvania, and we're holding O&M flat at the other four operating units to demonstrate that discipline. We do have a program in place that's talking about reducing staff augmentation, procurement efforts, some organizational design efforts. So we are incredibly focused on O&M discipline but felt that we needed to spend the dollars that we committed to spending in Pennsylvania. So like I said, in the range, beginning '25 to '26 and through the whole investment horizon that we talked about, '25 through '29 and again, we'll be disappointed if we weren't in the upper end of the range.
Shar Pourreza : Okay. Perfect. And then just quickly touching on the audit report. I mean a few moving pieces there, but the report kind of suggested a lower revenue requirement rate base ROE, the equity ratio was flat. No mention of goodwill treatment. Obviously, the numbers aren't as relevant as they reflect ESP-5. But how could the findings play into ESP-6. You have a lot of balls in the air in the state. So I just want to get a sense if there's any read-throughs in your upcoming filings? Thanks.
Brian Tierney : So thank you for that, Shar. So there are things that will move from the base rate case to the ESP and back and forth, and we need to reconcile those, and we anticipate doing that shortly in an upcoming filing. But I do think it's significant that they did focus on a couple of things that we talked about previously. They recommended a capital structure of 51% equity. Our current capital structure is 55%. No real mention of goodwill in that discussion. They've also proposed an ROE of 9.63% versus our proposed 10.8%, but the 9.63% is consistent with what other companies have gotten in Ohio. We're going to address these issues. We, again, think that our view is the right one. The actual equity structure, the higher ROE, and we'll be addressing those issues in our response to the audit report here in the next 30 days.
Shar Pourreza : Okay, perfect. I appreciate it Brian. Thanks so much. I’ll pass this line. Thank you.
Operator: Our next question is from Carly Davenport with Goldman Sachs. Please proceed.
Carly Davenport : Hey, good morning. Thanks for taking my questions. Maybe just a quick one on the balance sheet. You highlighted the actual '24 FFO to debt at 12.5%. I recognize there's some more onetime items in there. Can you just talk about the path to getting that back towards the 14% target for the planning period? And is that something that you view as sustainable sort of in each year of the planning period? Or could we see some variability there?
Jon Taylor : Hey, Carly, it's Jon. Yeah. So if you think about where we were for 2024, you just kind of strip out some of those unique items that aren't in our plan for 2025. So for instance, the $120 million payment we made to the SEC and OOCIC, that significant storm in Cleveland, you just strip some of that out you're close to the 14% in 2025. Then you add on the impact of the Pennsylvania rate case and the cash flow that's going to be generated with new rates effective January 1. Our plan for this year is slightly above 14%, and we believe that's sustainable going forward.
Carly Davenport : Great. That's helpful. Thank you. And then maybe just one on transmission. For the projects that were selected by PJM yesterday as part of the JV or you're part of with Dominion and AEP, are there any assumptions on those projects that are reflected in the current plan? Or would you expect those to fall outside of the scope of the current planning period?
Brian Tierney : So Carly, let me start, and I'll let Jon talk about the financing of it. We anticipate that our share of those projects will be about $675 million. About $625 million of that is going to be an FET and the remainder of that is going to be in our owned operating companies. So we view this JV as being a significant opportunity for us, but there are some unique items around financing, then I'll give it to Jon.
Jon Taylor : Yeah, Carly. So the CapEx that will be financed by the FirstEnergy company is in our plan. The JV is going to be off balance sheet. So it will be an investment that we have in that JV and we'll have to make an equity contribution to that joint venture to capitalize it. But that CapEx would be financed off balance sheet and wouldn't necessarily be in our capital plan. But everything else that we've were awarded yesterday is in our financial plan.
Carly Davenport : Got it. Great. Thanks so much for the color.
Jon Taylor : Thanks, Carly.
Operator: Our next question is from Nick Campanella with Barclays. Please proceed.
Nick Campanella : Hey, thanks good morning. I wanted to just make a quick follow-up on Shar's question about the Blue Bridge report and the Ohio rate case and just now that you kind of have a marker out there, what are your thoughts on just being able to maybe settle some of these issues with staff? And is that possible? Or are you just going to be taking this a full distance to an order eventually? Thank you.
Brian Tierney : So thanks, Nick. We always like to settle cases where we have the opportunity to do that. And of course, we'll be open to doing that in this case. The way our cases have been going recently, there's been no regulatory overhang, but they have been going through to adjudicated settlements. We were fortunately able to settle Grid Mod II. I think this one, given the complexity, the nature, the length of time and the like, I anticipate this one will be fully adjudicated. That being said, we don't see any regulatory overhang. The Blue Ridge report was -- it didn't have attitude towards it, it seemed to be factual. It seemed to be based on the matters almost entirely in the rate case. And I think I don't want to say too much about a case that we're currently adjudicating, but we'll make our response in the next 30 days, and I anticipate this case moving forward as planned. The commission has been handling these business-as-usual rate cases, straight down the middle of the road, and I anticipate that they'll do that through the end of this, and we anticipate a constructive outcome similar to what we got in Grid Mod II
Nick Campanella : Thanks for the comment. I definitely appreciate it. I guess just going back to the 6% to 8% in your comments about being higher in the range. If you're going to be higher in the range, just I guess why isn't this a 7% to 8% CAGR? And what's kind of -- what are you kind of handicapping or watching that would kind of put you lower at the -- more at the 6% level? Thanks.
Brian Tierney : Yeah. So the traditional things that you would expect that would impact utilities earnings, right? Regulatory outcomes, ability to get recovery load all the traditional things that you would expect, which is why we're focusing people on the core earnings. Things that could take us to the upper end of the range. We've gotten -- in the last two and half years, we've got about $2.5 billion of competitive transmission awards. I anticipate those will continue to come as load grows, as we see data center impacts and the like. We're not putting those in our plan yet because we don't have them similar to how we're not putting data centers that aren't contracted into our plan, but we have a significant pipeline there. So if the data center pipeline comes through and they go from being pipeline to contracted, if we have more of those competitive transmission opportunities that we're able to secure, I think there are more tailwinds than there are headwinds, but we can't put them in the plan until we have them either contracted or awarded.
Nick Campanella : Thank you very much.
Brian Tierney : Thanks, Nick.
Operator: Our next question is from Michael Lonegan with Evercore ISI. Please proceed.
Michael Lonegan : Hi, good morning. Thanks for taking my questions. So as we think about your targeted consolidated earned ROE of 9.5% to 10%, is that the level you're assuming in this 6% to 8% core EPS CAGR? And also, what earned ROE contribution are you projecting from Ohio in the forecast period?
Jon Taylor : Yeah, Michael, this is Jon. So in the forecast period, we are assuming that we're going to earn on a consolidated basis, somewhere in that 9.5% to 10% and that's excluding the holding company activity, so FE Holdco, FET Holdco. For Ohio, we're going to assume that we earn close to our allowed return, whatever that is coming out of the rate case, which we think would be in that 9.5% to 10.5% range, which we've talked about before. And we'll have to work our way through the rate case, but that's what we're assuming for Ohio.
Michael Lonegan : Great. Thank you. And then you talked about dispatchable generation opportunity in West Virginia. I wonder if you could talk about the size of that investment opportunity. When that could enter your plan? And then that, along with the incremental transmission capital from data center demand to $350 million, what portion of all this capital could be funded with equity?
Brian Tierney : Yeah. So let me first talk about the West Virginia component. We have about 3,000 megawatts of coal-fired generation that's going to be retired -- it's planned to be retired, whether that happens or not, between 2035 and 2040. So if we were to start building for that eventuality, I could see the spend for that coming in, in years four or five of our plan today and continuing beyond the 2029 period and extending throughout the 2030s. If you look at 3,000 to 4,000 megawatts of combined cycle, I think you're talking $3 billion to -- I'd say $4 billion to $6 billion potential spend over that 12 to 15-year period, which I think would make a lot of sense, replacing the thermal generation that we have and allowing for growth and economic development opportunities. I can't remember the second part of the question.
Michael Lonegan : What portion of all this incremental capital could be funded with equity?
Brian Tierney : I think you'd have to assume going forward that we would fund things from cash flow from operations. I think we would use debt and we would also use a combination of equity and equity-like instruments. So the traditional ways that you would finance utility investment are what we would use for that and everything else that we have.
Michael Lonegan : Great. Thanks for taking my questions.
Brian Tierney : Thank you, Mike.
Operator: Our next question is from Jeremy Tonet with JPMorgan. Please proceed.
Jeremy Tonet : Hi, good morning.
Brian Tierney : Good morning, Jeremy. How are you?
Jeremy Tonet : Doing good, how are you? Just want to come back to the no equity issuance in the message here. I just wanted to see kind of like the boundaries of what could possibly change that? And I mean, if anything happens, I guess, in this legislative session related to the ESPs or the rate case outcome, just wondering if we could think about the cushion there, I guess, if anything goes bump in the night against expectations?
Jon Taylor : Yeah, Jeremy, this is Jon. So we're targeting a 100 basis point plus of cushion in the metrics. And our forecast supports that today. I think as we think about incremental capital to this base plan that we have today, as Brian mentioned, I think we would finance that with a range of different options. So if you look at our data center demand that's in the pipeline that would be an incremental $350 million of CapEx as that becomes contracted. That could be funded with a portion of equity. But that's something that we'll have to take a look at. And I think it also depends on where that CapEx is, is it transmission related, is it forward-looking formula rate related, so there's a lot of things that we would have to take into consideration as we think about our financing plan going forward.
Jeremy Tonet : Got it. That's helpful there. And I just want to come back to bill headroom, if you could. And your latest thoughts there post PJM and post the recent New Jersey auction as well. Just anything you could share with how you see bill headroom right now?
Brian Tierney : We are either lower than or equal to our in-state peers. When you look at our share of wallet in terms of what our bill represents, it's less than 5% across our jurisdictions. So we're obviously aware of impact on customer affordability and are doing everything we can to keep bills affordable. All the activity that we're taking in terms of trying to maintain flat O&M, only spending O&M where we have the authorization to do it and we have recovery for it, like in Pennsylvania, but we're very mindful of affordability. But on a comparative basis and a share of wallet basis, we think we come from a relative position of strength.
Jeremy Tonet : Got it. That make sense. I’ll leave it there. Thanks.
Brian Tierney : Thanks, Jeremy.
Operator: Our next question is from Steve Fleishman with Wolfe Research. Please proceed.
Steve Fleishman : Hi, good morning. So just on pension funding. Could you just give us an update of kind of where you ended the year on like funded status of the pension? I guess when rates go up, that should actually be helpful, I think.
Jon Taylor : Yeah. So we ended the year at about 84% funded. And so probably flat to maybe slightly down from the last year. Some of that is just the asset performance in the plan this year was lower than we had expected, which more than offset the lower liability associated with higher interest rates.
Steve Fleishman : Okay. Totally separate question. Just on the Ohio consultant report or just the rate case overall, I think, Brian, you just said you're going to respond in 30 days to it. Is there any other schedule to the case at this point? Or is that just the rest of the schedule?
Brian Tierney : Yes. So thank you, Steve. We don't have a procedural schedule yet in the case, and we need to respond to the report 30 days from when it was issued, which was last Friday. So we'll be doing that timely, of course. A lot of the heavy lifting of the analysis and work was done by Blue Ridge in that audit report. And now it's back and forth, people commenting on it, people talking about their views of it as we'll all do when we respond. But I think we're on track to get an order by the end of the year with that report getting filed when it did last week.
Steve Fleishman : Okay. And then I guess last question, just I'm not -- I don't know what's going to happen with the -- I guess, curious your case of the bills pending in Ohio that might affect ESPs and whether -- since you've already filed a new one, would that be okay, since I think any changes will be prospective, not backward?
Brian Tierney : Yes. So -- thank you for that, Steve. We filed our comments in the proceedings that are going on in that. And we think whether or not you keep ESPs, we think the trackers that are in ESPs are an important way for people that invest in utilities in the state to get more timely recovery than what you would get through a base rate case. So if you just look at the FirstEnergy companies, we invest around $1 billion annually in the state of Ohio. For us to wait for recovery of that investment to a base rate case doesn't make sense. And it would really put Ohio out of the mainstream of other states and the FERC, who allow for some form of tracker formula base rate or the like. So whether you call it an ESP, having a tracking mechanism or a formula-based rate is incredibly important to incentivizing investment in the state of Ohio. And I'd hate to see Ohio make a mistake on that and have that investment go to other states and have Ohio lose a competitive advantage for economic development.
Steve Fleishman : Got it. That makes a lot of sense. Thank you.
Brian Tierney : Thank you, Steve.
Operator: Our next question is from Andrew Weisel with Scotiabank. Please proceed.
Andrew Weisel : Hey, good morning, everybody.
Brian Tierney : Good morning, Andrew.
Andrew Weisel : Can you please talk a little bit about demand trends? You mentioned a couple of times that sales were lower than expected. I know you pointed to weather, but even on a weather-adjusted basis, the full year was flat overall and weak in the residential and commercial segments. Any details you can give on the underlying trends and particularly that commercial class, which was down a little bit? That's where data centers are included, right?
Jon Taylor : Data centers, Andrew, in our company are in the industrial sector. This is different, I think, than maybe you see at other companies. Here's what I would say on load relative to residential, we saw some trends in Pennsylvania that they have an energy efficiency program there. They've probably deployed close to $100 million just towards the residential sector to be more efficient with their energy usage. So we started to see some of that, and it really started to come to fruition in the fourth quarter. But we really don't look at one quarter necessarily as a trend. And so we're going to see how that plays out over the next quarter or two, but that was what we saw. There could be a little bit of return to office there as well. And we're looking at that. But there's really -- I don't have a good sense of that at this point in time. If you look at just the industrial sector, I think in the fourth quarter alone, there were some steel customers that were off-line that kind of threw the trend off. But we think that's going to rebound fairly nicely given what we're seeing, specifically in Ohio and Maryland, with data center activity.
Andrew Weisel : Okay. Great. Thank you. Then on the dividend, I know it's a board decision, but with the rebased earnings outlook to core as a payout ratio, you're a little bit above the high end of the targeted 60% to 70% range. Any thoughts on how we should think about dividend growth going forward relative to the 6% to 8% earnings?
Brian Tierney : Yeah. So we were a little bit ahead as well in 2024. I think we're darn close to that range, and I anticipate that we're going to stay close to or inside that range going forward. I think that dividend will likely as it has in the past, grow with core earnings. But I anticipate that the board may want to take full advantage of the full range they have, but are comfortable with where we're coming in, in '24 and where we anticipate coming in at '25.
Andrew Weisel : Okay, thank you so much.
Brian Tierney : Thanks, Andrew.
Operator: Our next question is from Anthony Crowdell with Mizuho Securities. Please proceed.
Anthony Crowdell : Hey, good morning, team.
Brian Tierney : Good morning, Anthony.
Anthony Crowdell : I just had a quick follow-up to Steve's question. I think it was related to Ohio legislation and particularly ESPs and you spoke about the benefits to Ohio if you have them. But in your prepared remarks, you talked about you are going to -- and I apologize if I'm summarizing incorrectly, you're going to maybe true up and move some items in the general rate case to the ESP filing. I'm wondering if that legislation that you spoke about does happen in the past, do you have the ability to move maybe things that you were looking to collect through the ESP back into the general rate case.
Brian Tierney : It's a good question, Andy. Of course, we would try to do that. Like we never want things to be hung out there that aren't being recovered. And I think a change in law would be something that we would move to make sure that we get timely recovery of. We never want things that aren't being recovered or paid for. And of course, we would try to do that if that became an eventuality. There are other components that will continue to be reflected in formula-based rates at places like the federal level. So if certain taxes were to change, for instance, we would be able to get those recovered fairly quickly through the federal formula base rate annual mechanism.
Anthony Crowdell : Have you guys quantified how much revenue you collect through the ESP? And I don't mind following offline, I wasn't looking to put you guys in the weeds here.
Jon Taylor : No, no, no. Just to give you a sense of it. For 2025, the DCR revenue has held flat at $390 million. And then we probably collect less than $50 million right now on the grid mod AMI rider.
Anthony Crowdell : Thanks so much for taking my questions.
Brian Tierney: Anthony, the only thing I would say is, like all that will be collapsed to zero in the base rate case. It will move from the rider programs to base rates, but that will happen naturally through the base rate case proceeding. So that's a really important point that Jon is making. A lot of what's going on in the base rate case is resetting riders to zero and putting it in base rate cases, so in the base rate case. So either way, we will be significantly derisking the component that we receive through riders in the ESP.
Anthony Crowdell : So I don't mean to double dip then it's not -- you collect it 40 in the ESP in '24, but I should not think that's 2026 because it gets reset to zero.
Jon Taylor : Yes. So you'll see a significant increase in base rates, the riders reset to zero and then they would restart again to collect on capital you've deployed since the test year of the base rate case.
Anthony Crowdell : Perfect. Thank you so much.
Jon Taylor : Thank you, it is really important for us.
Operator: We have reached the end of our question-and-answer session. And ladies and gentlemen, this does conclude today's teleconference webcast. You may disconnect your lines at this time. And have a wonderful day. We thank you for your participation.